Operator: Good day, ladies and gentlemen, and welcome to the Axcelis Technologies Call to discuss the company's results for the First Quarter 2021. My name is Chelsea, and I will be your coordinator for today. At this time all participants are in a listen-only mode. We will be facilitating a question-and-answer session towards the end of this conference. [Operator Instructions] As a reminder, this conference is being recorded for replay purposes. I would now like to turn the presentation over to your host for today's call, Mary Puma, President and CEO of Axcelis Technologies. Please proceed, ma'am.
Mary Puma: Thank you, Chelsea. With me today is Kevin Brewer, Executive Vice President and CFO; and Doug Lawson, Executive Vice President of Corporate Marketing and Strategy. We are all participating in this call remotely. So, I would like to apologize in advance for any technical difficulties. If you've not seen a copy of our press release issued last night, it is available on our Web site. Playback service will also be available on our Web site as described in our press release. Please note that comments made today about our expectations for future revenues, profits, and other results are forward-looking statements under the SEC's Safe Harbor provision. These forward-looking statements are based on management's current expectations and are subject to the risks inherent in our business. These risks are described in detail in our Form 10-K, annual report, and other SEC filings, which we urge you to review. Our actual results may differ materially from our current expectations. We do not assume any obligation to update these forward-looking statements. Good morning and thank you for joining us. Axcelis posted another strong quarter as a result of overall strength in the semiconductor market, combined with the growing momentum of the Purion product line. Revenue for the first quarter was $132.8 million with earnings per share at $0.48, driven by strong gross margins of 42.5%. Our aftermarket business or what we refer to as CS&I once again contributed significantly to our revenue and gross margin. CS&I revenue in Q1 was $51.8 million. This strong performance was a result of high fab utilization, the growing Purion installed base, and significant upgrades in used tool sales. We couldn't have achieved these results without the strong support of our employees. They have continued to manage well through the many complexities brought on by China trade tensions and the continuing pandemic. I'd like to think them for their dedication through these difficult and challenging times. In the first quarter, the growing mature process technology market continued to be an area of strength for Axcelis, with 82% of Q1 shipments going to mature foundry/logic customers. The other 18% of shipments went to NAND memory customers. Even with the expected increase in memory revenues later in the year, we believe the Mature Process Technology segment will account for greater than 70% of system revenue for the full-year 2021. During the fourth quarter of 2020, the U.S. government placed Chinese foundry customer, SMIC, on the Entity List, meaning that export licenses are required for all Axcelis shipments to SMIC. We applied immediately for these licenses, but have found the approval process to be slower than anticipated. Since no licenses were issued in the first quarter, we were not able to shop any systems or parts to SMIC. Early in Q2, we were granted our first export licenses and began shipping approved systems and parts to SMIC. Our guidance reflects our expectations relative to this process. As a result, the geographic mix of our systems shipments in the first quarter was Korea 44%, China 39%, and Europe 17%. Although the percentage of China shipments was down from last quarter, we have a strong domestic and multinational customer base in that country across multiple market segments. Business with domestic Chinese customers in the Mature Process Technology segment, in particular, remained quite strong. For the second quarter, we expect revenue of between $135 million and $140 million, gross margins of approximately 41.5%, operating profit between $19 million and $21 million, and earnings per share between $0.43 and $0.47. Hitting the midpoint of this Q2 revenue guidance will signify reaching the quarterly run rate of our $550 million model. In fact, Axcelis is on track to exceed $550 million in revenue for the full-year 2021, achieving this goal a year ahead of schedule. Given market trends and the strength of Purion base products and new product extension, we have come to believe two things. First, that it's possible that we can also reach our $650 million model sooner than expected, perhaps hitting a quarterly run rate before the end of 2022. And second, that there is an implant-driven revenue model beyond $650 million that Axcelis can achieve. These developments are very exciting and point to a potential path forward for stronger than expected growth. Before turning the call over to Kevin, I'd like to provide a short update on our products and key market segments. The power device and image sensor markets are very important to Axcelis. As we have said before, we hold a leadership position in implant in both of these specialty markets. In the second quarter, we shipped multiple Purion VXEs to image sensor customers, as well as Purion H200 silicon carbide and Purion M silicon carbide systems to silicon carbide power device customers. With the shipment of the first Purion H200 silicon carbide tool, Axcelis can now provide power device customers with a full suite of Purion products to support all of their ion implant needs. Evaluations are key to developing new customers, increasing footprint at existing customers, and penetrating new segment. We currently have six Purion evaluation tools in the field focused on supporting future growth. During the first quarter, we closed the evaluation of a Purion VXE, and shipped a Purion XEmax evaluation to a second customer for use in advanced image sensor development. The six evaluation systems, which include a Purion Dragon, a Purion H200, two Purion Hs, and two Purion XEmaxes are positioned across key target segments, including advanced logic, NAND, DRAM, image sensor, and power devices. We expect these systems to contribute to our future growth. Kevin?
Kevin Brewer: Thank you, Mary, and good morning. Axcelis delivered strong first quarter financial performance thanks to the continuing outstanding work of all of our employees and supply chain partners. During this ongoing pandemic, the health and wellbeing of our employees remains a top priority, and we are doing our best to create a safe work environment for everyone at Axcelis. Pandemic-related protocols that were implemented during 2020 remain in place. Our pandemic response team is closely monitoring the situation, and continues to update these actions as required. We are excited about the accelerating growth that we believe can take us beyond our $650 million in revenue. We currently have sufficient manufacturing capacity in place to achieve this run rate. Plus, since we are seeing growth more quickly than anticipate, we have decided to bring on additional manufacturing capacity. Our operations team is focused on adding manufacturing capacity closer to some of our largest customers for the goal of increasing customer satisfaction. Turning to the first quarter financial result, Q1 revenue finished at $132.8 million, compared to $122.2 million in Q4. Q1 system sales were $81 million, compared to $64.2 million in Q4. Q1 CS&I revenue finished at $51.8 million, compared to $58 million in Q4. CS&I revenue was driven by strong upgrades in used tool sales. We expect Q1 CS&I revenue of approximately $40 million, and recommend modeling the second-half at $42 million per quarter. Q1 sales of our top 10 customers accounted for 79.8% of our total sales, compared to 81.5% in Q4. One customer was above 10% in Q1, compared to 3% in Q4. Q1 system bookings were $148.4 million, compared to $131.5 million in Q4, with a Q1 book-to-bill ratio of 1.92 versus 1.98 in Q4. Backlog in Q1, including deferred revenue, finished at $186.5 million, a new record for Axcelis, compared to $116.2 million in Q4. Q1 combined SG&A and R&D spending was $36.1 million or 27.2% of revenue, compared to $38.9 million or 31.8% in Q4. SG&A in the quarter was $20.4 million, with R&D at $15.7 million. We expect Q2 spending to be similar to Q1 at approximately 27% of revenue. Q1 gross margin was 42.5% and above our guidance, driven by strength in CS&I, product mix, and continued cross-sell activity. We are guiding Q2 gross margin of approximately 41.5%. Gross margin will continue to fluctuate quarter-to-quarter based on product and customer mix, the memory evaluation tool's quality, and level of revenue contribution from CS&I business. We are continuing to experience some higher cost from placing pandemic related protocol which I expect will linger throughout the year. Operating profit in Q1 finished at $20.3 million compared to $14.1 million in Q4. We are guiding Q2 operating profit of approximately $19 to $21 million. Q1 net income was $15.5 million or $0.48 per share compared to $14.7 million or $0.43 per share in Q4. We are guiding Q2 EPS of approximately $0.43 to $0.47. This guidance reflects any known impact from the coronavirus and the expert license speculation. Q1 cash finished at $207.5 million compared to $204.3 million in Q4. In the quarter, we generated $15.1 million of cash in operation and repurchased share worth $12.5 million. Q1 receivables were $75.9 million compared to $86.9 million in Q4. Q1 inventory ended at $174.4 million compared to $161.1 million in Q4. In the quarter finished tools inventory increased due to the export license situation. Q1 inventory trends excluding evaluation tools finished at 2.0, the same as Q4. Q1 accounts payable was $40.5 million compared to $24 million in Q4. I am excited about the ongoing strength of the industry and customer demand for Axcelis product. We have a strong balance sheet which is enabling the right level business investment while returning capital to our shareholders through the share repurchase program. Additional manufacturing capacity is targeted at improving customer satisfaction and supporting our group results. I hope that all of you and your family are staying healthy during the pandemic. Hopefully as more people become vaccinated, we can finally get back to normal time. Thank you. And I'll now turn the call back to Mary for her closing comments.
Mary Puma: Thank you, Kevin. We are encouraged and excited by our future as we move into a post-COVID environment. The strong multi-year trends of the industry cycle and growth in the adoption of new technology that uses ever increasing chip content bode wells for customer investment and capacity. The incentive plan to address challenging and emerging customer manufacturing requirements will likely expand the implant TAM and accelerate the adoption of our differentiated Purion products and services across all segments. Axcelis has the financial means to invest in R&D, global support infrastructure, and capacity to capitalize on all of these opportunities. The ingredients for continuing success are in place and will drive our leadership in ion implantation. With that, I would like to open it up for questions.
Operator: [Operator Instructions] Your first question comes from Patrick Ho with Stifel.
Patrick Ho: Thank you very much, and congrats on the nice quarter. Actually I have two questions for Kevin. Gross margins you performed very well in the first quarter, and as you mentioned there is only moving pieces with it, but as we look at the next several quarters with some of the moving pieces you talked about evaluation assistance, continued cross-sell program, and even customer mix potentially impact over the next few quarters. What are the biggest influences you're doing will impact gross margins one way or other over the next few quarters?
Kevin Brewer: Yes, thanks, Patrick. Yes, so I think in the beginning of the year we thought gross margins would be similar to last year. If you look at where we are right now with our cross-sell roadmap, we are probably ahead of where we thought what it would be, and revenues certainly we now expect to exceed or beat $550 million revenue model this year. So, cross-sell roadmaps are little bit farther, but volumes [indiscernible] we have the evals that are kind of [converting] [Ph], those have always been in the plan. So, I don't think it's -- I was wrong to say that we're on track for our $550 million or above revenue model this year. We've got our gross margin targets in there. Even though we're a little bit ahead of that, Patrick, we could certainly come into low-end of those gross margin ranges. So, at this point at 42% range plus or minus a little bit, I think that's where the year is going to be. So, even with all of moving pieces and again everything accelerating and all these evals and stuff we are continuing to make a change. So, I think we are going to have very solid year gross margin.
Patrick Ho: Great, that's helpful. And my follow-up question [indiscernible] Kevin, is on the supply chain and the inventory situation. Given that there are, call it, constraints in the ecosystem itself, you guys still actually managed it very well from an inventory and supply chain perspective. But again, with a lot of moving parts and eval systems, and just customer demand picking up, how are you managing your inventory levels and your ability to procure supplies to not only, one, meet demand, but to get these evaluation systems into the field?
Kevin Brewer: Yes. So, we've continued to have our planning with [doing the] [Ph] sales in place for long lead material. The real trick is to make sure we've got the long lead. And I think you would acknowledge we're a little flush with inventory right now. I mean the churns are holding it through. But we've been driving ahead of this thing really since the pandemic started because my philosophy always was if I get out of line we are not going to be able get back in. So, I think we are in pretty good shape, Patrick, from a supply chain point of view. There is obviously issues that pop up on daily basis. But that's not new, right? Everybody goes through that. There is no doubt that everybody is running hard right now. It's not just Axcelis is doing well. The peer group as well is doing remarkably well at this point. So, there's pressure there. But I think the key is to stay ahead of it, maybe drive inventory a little bit sooner that we need it, which we have doing. And we should be good to execute on the plan this year.
Patrick Ho: Great. Thank you very much.
Kevin Brewer: Yes, thank you.
Operator: Your next question comes from Craig Ellis with B. Riley Securities.
Craig Ellis: Yes, thanks for taking the question. And team congratulations not only on the quarterly execution, but on all the strategic progress to the intermediate and long-term goal. So, Mary, I wanted to start just with a question for you on calendar '21, so nice to see the company feeling confident about the $550 million, that implies given 1Q results and 2Q guidance at least $140 million a quarter on average in the back-half of the year, so the question is can you just share with us of the visibility that you have and any thoughts on linearity that we might see as we go through the back-half of the year?
Mary Puma: Thanks very much, Craig. So, we expect 2021 to be a great year. At this point, we see demand holding up and remaining strong across all market segments. We think this is through the multiyear cycle, and essentially that most of the markets are hitting on all cylinders. And as you said, the data points that we expect to exceed 550 this year and even hit our $650 million revenue run rate by '22 means that we are continuing to sow those seeds and build strong business even out for the future. So, in terms of the segments, the mature process technology market remains extremely strong for us. There is strength in IoT, which drives general mature technology devices such as sensors. We have got image sensors. We have got power devices. And those are quite strong and even growing, because of the recovery we are seeing in automotive. Memory is increasing and that is part of what is driving our confidence throughout the remainder of the year. But as I said, we expect the mature process technology segment to account for over 70% of our systems revenue in 2021. So, that's going to be the major driver of what we see going on. Although memory will be additive to that, and as it recovers obliviously will be another strong lever. So, we think the stars are all aligned in terms of the market segments, and because of the strong product portfolio that we have both in terms of the Purion products, the base product, plus the product line extensions, and the fact that we are exceeding the market with evals of six in the field plus additional going out in the future. We feel real confidence that things will continue to be strong throughout 2021. We haven't given guidance for the second-half of the year. You just did the math in terms of what at a minimum would need to happen to exceed 550. So, at this point, I think we will leave it there. And as we move throughout the year and we get further clarity and data, we can share. We will certainly do that with you.
Craig Ellis: That's fair. And thanks for all that color. And then the second question is really a longer term question, just really nice to hear the point on the potential for the $650 million target model on a quarterly run rate basis some time in calendar '22. The question there is, to what extent is the significant success with the product customizations, and the SAM expansion that they would engender, really playing to that door? To what extent alternatively, is it just some of the bigger CapEx commitments that we've seen, and some of the other things that are also quite significant on a multiyear basis, but maybe not those leading logic for foundry guys really driving the expectation that we could get to that $650 million target on a run rate basis next year?
Mary Puma: Yes. Well, let me just start with saying we've always said that markets really across all of the segments would need to be strong for us to hit our $550 million and $650 million revenue targets. So, obviously, as I mentioned, we're expecting the markets to continue strong into next year and over the next few years. But absolutely, our success is being driven by the Purion product line. And a lot of that is coming from the product line extensions, and what we're doing in some of those markets. So, even if I look at the evaluations that are out in the field today, two of them are in memory. Three are in mature process technology. So they're two image sensor and one power device. And one is advanced logic. So, just to talk briefly about advance logic, we said that we need to do more work to further penetrate into that market segment. And we're pretty excited that the evaluation that we have in place right now, will that turn into additional business for us, as we move into the 650 model, and even beyond that, and we are working with the other advanced logic customers to make progress there. But in the mature process technology center testing segment, that's really where our specialty products or the market segment driven products really shine. The image center market, we've done incredibly well. And we said, we believe that we're the leader in implant in both image sensor and power devices, and so, very strong presence with high energy, some of the very high energy tools. Now the Purion XEmax is our highest energy tool, and the tools going into the power device market. So, the Purion H200, all of the silicon-carbide tools across the full spectrum of the Purion product line, so high energy, high current and medium current, those are all really key drivers of our future growth. And I believe are really the underlying reason for the fact that we believe that we can even get beyond the $650 million model.
Craig Ellis: Very encouraging. Okay, go ahead.
Doug Lawson: Great. This is Doug.
Craig Ellis: Yes, Doug.
Doug Lawson: Let me just add one other thing to it. So, Mary commented on the power market, there's a lot of discussion about the automotive chip shortage and so forth. One of the things that's interesting with our products is the Purion power for silicon-carbide and silicon really targeted at a lot of the electric vehicle activity that's going on. And that's a little less caught up in the shortage. That's more of planning for the future. So I think that power device market is another key that allows us to drive towards the 650 and beyond.
Craig Ellis: Yes, and certainly some positive comments within the last two weeks with some of the biggest chip manufacturers based in Europe that serve that market with that technology, so good point, Doug. Then if I could just ask a clarification before I held back in the queue. Nice to see some licenses granted for export shipment to that Chinese customer. The question is this, to what extent, were those granted relative to what you applied for? And to the extent that it was less than 100%? Is there potential for further grants to move up to what we would hope to fully show? Thank you.
Mary Puma: Yes, we have multiple licenses that are out there to cover you know all of the orders that we have for across our Purion product line, and actually even more significantly, a number of our legacy systems at this point in time. So we did just start, we receiving some licenses. As we said in the second quarter, we are shipping those tools and the parts associated with them that were approved on those licenses. We are continuing to work with our outside trade council and with semi and the U.S. government to ensure that the rest of the licenses are granted. So, at this point in time, we think that the flow of those licenses has begun. And we're continuing to work to ensure that the rest of them are in fact granted on a timely basis.
Craig Ellis: Very helpful. Thanks, everybody.
Operator: Your next question comes from Tom Diffely with D.A. Davidson.
Tom Diffely: Yes, good morning, and thanks for taking my question. To follow-up on the last question, if you look at the really strong bookings in the quarter, is there a meaningful portion of those bookings that are going to also require export licenses going forward?
Mary Puma: So we did have a very strong bookings quarter out of China. But the thing that I want to continue to stress is that we have a very broad customer base in China. And that's comprised of both multi-national and domestic customers, although we've said that most of those customers and many of those customers are focused on the mature process technology markets. The customer SMIC that requires export licenses is only one of those many customers that we have. So we at this point in time, we really we don't expect that there's any more significant risk to any of the systems that we're going to shift beyond what we already know, associated with the SMIC license situation.
Tom Diffely: Okay, great. And then, when you look at the CSI business, obviously very strong in the quarter. I'm curious how, if at all, it was impacted by COVID, and the inability of certain service people to move around? And also, what causes the variability on a quarterly basis? What's the biggest driver of variability?
Kevin Brewer: Hi, Tom, it's Kevin. So, the variability, let me start with that, its used tools are very spotty. We actually had a lot of used tools in the quarter. So that'll move it around. We are coming off a couple of strong quarters. I think everybody remembers Q4 was very strong, but we did say there was a good amount of pre-buying going on and what we thought with some of our customers particularly in China, and we've always kind of frame this CS&I business, if this revenue level of about a $40 million a quarter by business? So, we're off to a strong start. We think Q2 is around $40 million. I think the back half of the year could be around $42 million. So it's up a little bit for us. So the variability really today has been, I think some pre-buying a strong, a surge and used tools, probably just driven because systems in general, everybody's trying to get out of sense at this point. So, I certainly want to leave my models at $50 million, but I wouldn't be worried that, we brought back into the low 40s. That's exactly where we expected to be based on a number of tools out there in numbers, what we think is our entitlement that goes with those tools to spare parts and service.
Tom Diffely: Okay, great. And then finally, Kevin, when you look at lead times for your tools. Have they changed meaningful in the last few quarters? And are you having any supply issues yourself?
Kevin Brewer: Yes, so I know some of our peer group is talked about late times pushing way out. I think to this point, we've done a good job, or I think we're keeping up what customers are wanting. It's certainly not easy to pull tools in at this point, but -- and if I looked at what our standard lead times are to where we are, we're not that far off in terms of the manufacturing side of time, but as I mentioned earlier too, we are driving a lot of long lead material ahead of schedule, what's called -- because that's really kind of the bottleneck in the process. Most materials have very short lead time, but it's a longer lead stuff that we've been keeping ahead of us. So, at this point, I'm not going to raise the flag and say that was the answer. We can't deliver what customers want. So, our lead times again are -- they're not too far off to where they would normally be.
Tom Diffely: Okay. Thank you.
Operator: Your next question comes from Charles Shi with Needham & Company.
Charles Shi: Hi, thanks for taking my question. This is Charles Shi on behalf of Quinn Bolton at Needham. So, maybe I want to follow-up on the question around licenses. I think I understand that the licensing requirement came in two rounds around SMIC, probably the first around targeting, I mean that includes some of your products under restriction around the September timeframe, but the second round actually put all of your shipments to SMIC. I mean, at least the system side under the licensing requirement. So, this initial approval of licenses is that approval for the first a few licenses, I mean, that you guys applied around the September timeframe last year or is that some of that actually come from that December applications?
Mary Puma: So, you're right. You explained the situation correctly. First, SMIC was put on the military end user list in September, and then the entity list in December. We applied for licenses in September, and then we applied for licenses again in December for the remainder of our products that weren't covered the first time around. But I guess the only thing I can say is they do not seem to be coming out based on chronological order. It's not exactly clear how they are in fact doing the review and what they're putting priority on versus other things. So, at this point in time, the answer is not as clean as I think, maybe we would have all anticipated. And as I said, the licenses are not being issued in as timely a fashion as we would have hoped, but again we are happy that some of them were issued, and we continue to drive to ensure that the rest of them are issued in a timely fashion.
Charles Shi: Thanks a lot, Mary. May I follow-up on another question really around the CS&I, maybe this is a question for Kevin. So, Kevin, I understand that fourth quarter last year and first quarter this year CS&I is probably running -- I mean probably ahead of your $550 million model target, which I think it's about a $40 million per quarter, actually closer to your $650 million model. In the last quarter you did point out that one of the factors -- there are several factors driving the -- I mean unusually higher CS&I revenue is about the advance purchases even through stockpiling by maybe a few of your Chinese customers due to geopolitical tension. I understand that industry utilization is high, and also you pointed out with some of use tools strengths, but I wonder for your Q1 CS&I, whether some of that is still driven by some of the inventory hoarding behavior from some of your Chinese customers due to geopolitical reasons.
Kevin Brewer: Yes. So, Charles, I would say that there's still some -- what I would say is pre-buying in Q1 for sure. But I would also say that we did see a strength come in from almost all of our different regions that was applied far too. So, Q4 was certainly China-centric, and a lot of pre-buying. We did see strength in Q1 in Korea. We saw it throughout Europe, and we saw it actually in the U.S. picking back up. So, some of those areas, I would not think are -- they're certainly not pre-buying, because of word of warning about trades right now, whether they're pre-buying a little bit, because they have a huge ramp coming at them and utilization side activity going on. But I think this is probably normal, right. And then you ramp the level, the level we're seeing at this point was I'd say, Korea, Europe and U.S. So, China yes, I think there's still a little pre-buying going on for obvious reasons. And it's probably not just MIT. I think everybody may be a little bit nervous over there. But it's definitely I think it's going to sell back off, right? So we'll drop into that $40 million range in Q2 and then $42 million to backend where we want to be, it'd be nice to be surprised that it's higher. So, at this point, I think Charles, you think it's kind of settled down.
Charles Shi: Got it. Thanks, Kevin. So maybe my next question is around the evaluation tools. I think one of the tools of Dragon tools you're faced with for one DRAM application? I know you ship that tool, probably around June timeframe last year and the evaluation cycle, typically about the year, I'm not asking why you haven't closed it. Yes, but are you sort of expecting some point in Q2, it's going to get closed and because while the reason is we sort of expect that DRAM will become stronger in second half, especially one of your top DRAM customer recently announced that they are pulling the CapEx into 2021. And likely the majority of that will be DRAM. So I wonder whether the eval closure can be ahead of the volume ramp, and whether that will drive further upside for the second-half on memory revenue.
Mary Puma: So Charles, you're right. We hipped mid last year, which would mean it should close mid this year. So it's not quite mid this year yet. So that remains to be seen. And we will report on it as soon as it's close. It's moving along per plan. Sometimes evaluations actually don't close exactly 12 months, to the exact date. And the reason for that typically is as we work with customers during these evaluation periods, we also work to qualify as many recipes as possible. And sometimes we get opportunities to actually work on recipes that weren't originally planned for these evaluations, which then takes more time. So I'm not necessarily commenting specifically on this evaluation. But I just wanted to make it clear that if it doesn't close exactly as to 12 months more, there are many reasons for that, and the evaluation will go on to be successful. In terms of the timing, this is actually the second Dragon that we have at this customer; the customer already has qualified the Dragon for NAND applications. So we feel very good about, we feel very good about our position with this customer given that this is the second Dragon and believe that as the cycle picks up, this customer will in fact purchase additional Dragons as they have capacity needs for high current. So at this point, we are not worried about missing any upswings in the market.
Charles Shi: Thank you, Mary. Thanks, guys. Congrats on the results and best of luck. Thanks.
Mary Puma: Thank you.
Operator: Your next question comes from the line of Dave Duley with Steelhead.
David Duley: Yes, thanks for taking my question. I'm wondering if you hit the $550 million revenue target this calendar year, what would you say that that translates into market share in 2021 for the implant market?
Kevin Brewer: David, it's hard to tell actually, this year, as you know, the market share denominator for the TAM for an implant isn't really reported very accurately. And so we're not trying to make a guess as to what exactly that TAM will be. We know we're increasing market share. We're having great success with Purion especially with the Purion extensions, and especially in the segmented markets where we would consider that we have very high share. But it's difficult at this point to gauge the exact share. We do believe that the TAM is increasing right now, as we've said the last couple of years, and it's above a $1 billion at this point exactly how far above, it's kind of hard to estimate.
David Duley: Okay. What are the key things that you need to accomplish to get to the $650 million market? I think in the past, it's been wins in Japan and wins in high-end foundry logic, is that still kind of the targeted areas or do you think you can get there by just having some of your other segments grow faster than initially expected?
Mary Puma: So I think we feel very good that we planted the seeds that we need already to get to $650 million. I mean, if in fact, we hit a run rate next year. That means that putting additional evaluations in the field at this point really isn't going to drive any significant volume above that in 2022 and perhaps even into 2023. Japan and Advanced Logic are obviously important segments, and we've made some progress in Japan, Dave, you know we shipped our first Purion XE there last year to the power device market, that power device market is very strong in Japan as is image sensors and neon. So, we're continuing to drive after that. And, in Advanced Logic, I've already mentioned that we have a Purion evaluation out there to customer where we think that can turn into some significant revenue, the timing on that is, we've got to complete the evaluation and sort of go from there. So, Japan and Advanced Logic are important segments, but they're not going to be the major segments that are driving $650 million at this point in time, given the timing and giving what we've seeded the market with, it really is going to be at the customers where we already are, where we're processed tool of record. And the customers know the tools, like the tools are running the tools in production. So, a lot of it will have to do, China again will still remain a very strong market for us. It's growing our Purion footprint and our existing customer base again, where we already have an installed base, and perhaps continue for example to expand the number and types of applications we're in that something that can be done more readily, will bring a whole new tool and for example, for evaluation. So, those are all the things that we're already doing that will contribute to the $650 million, which is why we think we have a pretty good line of sight into $650 million. And feel confident that as I said, those seeds have already been planted.
David Duley: And two other questions, Kevin what is the impact on the P&L either and operating expenses or COGS from the increase in capacity that you referred to? And then also, as far as the competitive environment Mary, what are you seeing your core competitor in the implant market doing now with you continuing to gobble market share?
Kevin Brewer: Yes, so Dave on the manufacturing capacity at this point, we're in the early stages of setting this up. And as the year goes on, I think we'll provide some additional details about what it is, we're doing and any potential impact. I guess the only thing I would say is that, the long-term impact should be positive. I think we're moving to, there's opportunities to improve gross margins on this, as you point out there is always near-term getting things set up and framing and things but I think positive takeaways at longer-term, this should be something that helps the company's gross margin point of view, which helps the overall P&L.
Mary Puma: Okay, and from a competitive standpoint, competition remains quite strong. We're facing our largest competitor, really at every account we go to, although I will say in terms of some of the specific segments, in mature process technology, for example, like image sensor, in power devices, where we have a leadership position, it makes it more difficult for them to participate, given the strength of the Purion product offerings that we have in those areas. But other than that, it's just obviously there's always pricing pressures, there's the bundle that they try to throw at the customers. There's the bundle that they tried to throw at the customers. There is some of the typical things that our competitor likes to do. But in general, we've -- because we are processed tool is record in most of the places right now, where there is some significant spending. Well, and again, I'm just going to clarify that again probably not in Japan and probably not in advanced logic, but in all those other areas where we have strong conditioning, we've been able to really ward them off.
David Duley: Thank you.
Kevin Brewer: Yes.
Operator: Your next question comes out of Mark Miller with Benchmark.
Mark Miller: Congratulations on your quarter and thank you for the question. There are at least four major fabs, three planning, the U.S. coming up starting next year. I'm just wondering in terms of your projection for the 650 run rate, are these primary components of the 650 or are these are coming from more existing fabs?
Mary Puma: No, we're all excited about the new fabs that are going to be constructed. In the U.S. it's great for the U.S. It's great for the jobs. Great for the industry, but right now, those are not accounted for in any of our $650 million model revenues. As I said, previously, we've already got the seeds planted for the 650 model. So as we evaluate those opportunities that would be something that would figure into the model that we are working on right now that goes beyond 650 with an implant only focused.
Mark Miller: Do you see these fabs contributing to orders next year for you?
Mary Puma: Again, I don't have a full handle on the timing for all of these things. So I really -- next year we're continuing to work on our $650 million model. And if there are orders from some of those fabs in there, then that would be upside to what we currently have planned. But as I said, we are working on ensuring that we have the right resources in place, the right infrastructure in place, and we're doing all the right things right now to make sure that we can capitalize on those opportunities.
Mark Miller: Okay. My last question is the -- your tax rates been kind of jumping around the last two quarters of what should we be thinking about for tax rate for the remainder of the year?
Kevin Brewer:
,:
Mark Miller: Thank you.
Kevin Brewer: Yes.
Operator: Your next question comes from the line of Craig Ellis with B. Riley Securities.
Craig Ellis: Yes. Thanks for taking the follow-up questions. And Kevin, I didn't mean to ignore you in the initial round. So I'm coming back with you. So the first question you mentioned that OpEx in the second quarter would be flat as a percent of sales, but on higher sales that's higher dollar. So it is that performance based increases bonus accruals just said, sales commissions, or are there just projects that are queuing up in R&D that would drive the sequential increase or other things?
Kevin Brewer: The answer, yes. You got it. It's across the board. It is the variable compensation basis. It is the on the pieces, and they'll help you out with full year models, $38 million is probably a good number for the years. And if you look at where our 550 model is, it's 25% approximately of revenue instead of maybe the revenues a little bit better than that. I think $38 million certainly not a bad place to be using for the remainder of the year.
Craig Ellis: Great. And then the follow-up great to see the $12 million insured buyback in the quarter. The question is with the license granted for customer shipments into China, obviously there's some pressure to keep the right amount of inventory on hand, but what are some of the gives and takes with respect to persecuting the share buyback in the second quarter?
Kevin Brewer: So we're buying to attend the plans, Craig. So I don't that grid is in place, and we're going to execute that. So the things that we've talked about for whether it be inventory or adding capacity, I mean, that's not going to impact what we're doing with share repurchase program, we have very strong balance sheet, as you know, we have plenty of cash to execute both the investments needed in the business and grow the business and return capital back to shareholders, please. It's something we really want to do this year, when we put this program in place I think we put a very sizable program in place, especially for Axcelis. So we're very committed to continuing that. And again, we have a grid that we're executing.
Craig Ellis: Nice to hear, thanks so much, Kevin.
Kevin Brewer: Yes, take care.
Operator: [Operator Instructions] Your next question comes from the line of Christian Schwab with Craig-Hallum.
Tyler Burmeister: Hey, this is Tyler on for Christian. Thanks for letting me ask a question. So I was just wondering maybe a little bit bigger picture, you guys said your mix of mature foundry memory is expected to be 70:30. This year, and you have eval tools for both out in the field. So, next year and in the future, as we move towards a 650 model, should we expect both those segments to continue to grow? And maybe a mix, they kind of similar to these levels or over time, would you expect that mix, maybe to move back closer to 50:50 mix? Any color there would be great.
Mary Puma: Tyler, the mix is really going to be a function of which customers in which segments are spending. But as we said, we think that this is a multi-year cycle, we expect the mature process technology customers to continue to spend, we expect memory to recover increase throughout the year, and we may see more memory spending, as a percentage of our total revenues, based on again spending a specific customer. So, it's possible that it could shift a bit more towards back towards memory. But we expect really mature process to continue to be strong. I mean, if we take a look at where we were, last year, the mix was pretty similar. We had 29% memory last year, and this year, we're saying maybe around 30%. So, it could be the same but I think we just have to wait it out and see exactly what happens as we move into 2022.
Tyler Burmeister: All right, that's great. All my other questions were answered. Thanks guys.
Kevin Brewer: Thank you.
Mary Puma: Thank you.
Operator: This concludes the Q&A portion of the call. I'd now turn the call back over to Mary Puma, who will make a few closing remarks.
Mary Puma: Thank you, Chelsea. So I'd like to thank everyone for joining us today, we hope to talk with you virtually at upcoming investor events. In June we'll be participating in the Craig-Hallum 18th Annual Institutional Investor Conference, the Cowen 49th Annual Technology Media & Telecom Conference, The Stifel 2021 Cross Sector Insight Conference and the 13th Annual CEO Summit. I'd like to thank you for your continued support and stay well. 
Operator: This concludes the presentation. Thank you for your participation in today's conference. You may now disconnect. Good day.